Operator: Greetings, and welcome to first quarter CUI Global earnings conference call. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Brendon Barretto from Barretto Pacific Corporation. Thank you Mr. Barretto. You may begin.
Landon Barretto: Thank you, Diana. Good morning. Thank you for joining us to review the financial results of CUI Global for the first quarter of fiscal year 2013 which ended March 31, 2013. As a conference call operator indicated my name is Landon Barretto with Barretto Pacific Corporation. We are the investor relations consulting firm for the company. With us on the call representing CUI today are Bill Clough, President, Chief Executive Officer, and Dan Ford, Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for question and answer session. If anyone participating on today’s call does not have a full pack copy of the earnings release, you can retrieve from the company’s website at www.cuiglobal.com. Before we begin with the prepared remarks, we submit for the record the following statement. Statements made by the management team of CUI Global during the course of this conference call that are not historical fact are considered to be forward looking statements subject to risk and uncertainty. Private securities litigation reform act of 1995 provides the safe harbor for such forward looking statements. The words, belief, expect, anticipate, estimate, will and other similar statements of expectations identify forward looking statements. The forward looking statements contained herein are subject to certain risks, uncertainties and important factors that could cause actual results to differ materially from those reflected in the forward looking statements included herein. These risks and uncertainties include but are not limited to the impact of competitive product and pricing, product demand and market acceptance of new product development, the ability of the company to control costs, availability of products produced in third party vendors, fluctuations on operating results and other risk detailed from time to time in the CUI Global filings with the US Securities and Exchange Commission. Participants on this call are cautioned not to place undue reliance on these forward looking statements which reflect management’s analysis only for the date hereof. The company undertakes no obligation to publicly release the results of any revision for these forward looking statements which may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. With that said, let me turn the call over to Bill Clough, President and Chief Executive Officer. Bill?
Bill Clough: Thank you Landon and thank you everybody for being on the call. Thank you especially to some of the people I see on the call who participated in our equity raising just completed, our new shareholders and we really like having you onboard and again very much appreciate your support. This has been quite a good quarter but an interesting quarter for us in a number of different ways. As you see from the press release we saw a pretty dramatic uptick in our gross revenues up 19% year over year and of course that is in an economy in the electronics industry where generally speaking across the board the companies are seeing a downturn in business and struggling to just maintain what they have. So we are quite proud of our management team, our distributors and of course directors, sales directors who have really gone out and gone the extra mile to acquire OEM business and really to push forward on our core business. We tried some of that of course through our new relationship with Future which is turning into quite positive factor and of course our continuing relationship with Digi-Key are one of our best and biggest partners. We have a sales backlog right now of $50.7 million, I will talk more about at the end of the call but frankly that’s the historic high growth, it shows a pretty robust second quarter and moving into third quarter. And during the course of the quarter we were able to reduce our SG&A by about 6% from 47% to about 41% of our gross revenue. So again we are moving in the right direction in that regard as well, although Dan will talk about some of the reasons that that did occur. As far as our EPS, we lost $0.04 last quarter which is about 70% improvement quarter to quarter and as well as you know I think with the acquisition of Orbital and moving forward in the next quarter we expect to have to change dramatically on the course of the next several months. We also had quite an interesting obviously group of occurrences during the last quarter and immediately thereafter. We completed an equity raise, net where we – grossed around $48 million, netted around 45 million. We were able to pay off $2 million in long term debt as a result of that, we completed the Orbital transition, and the acquisition and thereof what we now have a very, very dynamic patent portfolio and product portfolio, gas and gas related products, we will talk again a little bit more about that at the end of the call. You’re mostly all familiar with the GasPT2 product, we want to talk just a little bit about Irish, and if you know what that is. But before I go into that and break down a little bit more on the backlog, why don’t I turn it over to Dan as he will go through the numbers, the balance sheet and the P&L. Dan, you want to take that?
Dan Ford: Thank you, Bill, appreciate it. To bring everyone up to speed on where we finished the quarter at March 31, compared to the prior year quarter on the P&L and the balance sheet at December 31, we will start there at the balance sheet. Cash position remained healthy at $2.5 million at the end of March, and even healthier today because – as a result of the equity raise. The trader (inaudible) decreased about $1 million from December 31 to 3.8 million, that had to do with finding when invoice would go out and the term of the consumer count. Both March 31 and December 31, we think are very current and are in a solid position with regard to credit. Otherwise prepaid expenses was the other major change during the quarter and they were up about $700,000 and the primary result of that increase was prepaid premium for the next annual period as well as costs that were breakeven in association with the equity raise in the Orbital acquisition. Beyond that, the liability decreased, the primary reason for the decrease there was we repaid during the quarter the line of credit balance of $459,000 and then current liability has decreased slightly otherwise. Moving on to the profit margin for the operations, as Bill mentioned our revenues increased about 19% year over year for the quarter to 10 million (inaudible) were 470,000 roughly or about $1.6 million increase. That increase is due to a number of factors, the continued product introductions during 2012 and Q1 2013, the addition of a second distribution partner during the first quarter of 2013 with Future Electronics, and we are quite excited about on the power side having two to three partners, the combination of Digi-Key and Future Electronics. And that implementation has gone very well. We are seeing excellent opportunity coming through this pipeline as a result of that. We also have organic growth through our direct channel and our sales directors penetrating new customers. The next exciting change was the increase in our gross profit margin, about 1% on a year over year comparison. That has to do with the product mix and the customer mix, that’s simply generating better margin out of our product line and there is not one particular sale or one particular product that resulted in that, that had to do more looking at who and what we are selling, and increasing our volumes in that regard. As Bill mentioned, our sales and operating expenses decreased as a percentage of our revenues, about 41% from 47.5% during the prior year quarter. The result of that is due to the efficiencies achieved during the quarter particularly related to generating revenue from the same sales team and rep team. We are leveraging our sales channel more as well as changing our cost structure. We expect our sales group to continue to generate revenues and continue to achieve very efficiencies without significant cost increases there. We expect the SG&A continue to strengthen. We had a loss on operations of about $378,000, a decrease from $904,000 in the prior year and an overall consolidated net loss of $462,000 down from $1,072,000 during the prior year which resulted in an EPS loss of $0.04 compared to $0.13 during prior year period, something we are quite pleased with and we expect to continue to improve particularly with the acquisition Orbital and continued growth on the power side as we move through the year. Cash flow highlights, just want to know we had positive cash from operations, and we continue to invest in property equipment primarily related to ongoing things like computers and servers as well as test and measurement and design equipment for our engineering team. And as previously we paid off the line of credit now from the yearend of $479,000 (ph). So we used cash during the quarter of about $522,000. With that, that’s the financial highlights for the quarter and I will turn it back over to Bill.
Bill Clough: Thanks Dan. A little bit on the backlogs, we have $50.7 million in backlog as we mentioned, about 2.4 million of that is the GasPT device. Looking at Orbital’s current numbers, they have about 16.6 million pounds in backlog or about $25 million in backlog business, of that about 475 pounds or about $710,000 is separate GasPT orders. So again we are quite excited about where we are at and where we are going. This next quarter should see a number of different developments, including really increased sales and marketing effort on the version GasPT device, including the seminars that we plan to conduct in North America and in mainland Europe regarding the value of the device and the reason the device should be implemented quicker sooner rather than later. We also expect to see a fairly significant revenues from this Irish device that we have talked about on the road show but not a lot to the public in general. The Irish device is a very unique method of remotely controlling gas transmission system through a satellite telemetry. It’s 100,000 pound product that is installed on a pumping station and for example, in the UK there are 390 of those pumping stations, we’ve actually installed in on 32 of the oldest pumping stations and they have all operated above and beyond expectations. The device is a 40% gross margin – I am sorry, 40% net operating margin piece of equipment. So really about almost $60,000 per unit that comes back to the company. So again a lot of exciting things occurring, we think that this is the beginning of a real dramatic change in this company and as I told those of you that participated on the road show and I will cover everyone else, this is an inflection point for this company. And this is a very, very dynamic quarter, the last quarter for our core business. We were very, very happy to see that, it shows that I think the initiatives we put in place over the last year and year and half is you starting to really pick hold and we are starting to see a growth – ramp up in the electronic industry. We believe that the same will be true with our participation with the Orbital in the gas industry. So with that being said, again thank you for your participation and I will open it up for questions, Landon?
Operator: (Operator Instructions) Our first question comes from the line of Eric Stine with Craig-Hallum.
Eric Stine – Craig-Hallum: Just wondering could you provide just a look at Orbital either Orbital results details during the quarter, and maybe a pro forma.
Bill Clough: Eric, I can’t hear what you are saying? Can you speak a little louder?
Eric Stine – Craig-Hallum: I was just wondering if you could provide a pro forma or just in details on how Orbital performed in the quarter.
Bill Clough: I will let Dan talk a little bit to that, but really what we are focused on in this call and on this quarter is what happened to CUI, obviously we are in the process of incorporating and consolidating the Orbital material into our company right now. And so again I am not sure how much of a breakout do you have on that – but Dan, you have any details that you can provide?
Dan Ford: I have – I rather not right on the call, except to say that they had a very good quarter both in terms of revenue and in terms of bookings, which we could see in the backlog that Bill mentioned earlier that was about 16.6 million pounds in backlog. They are right on track but everything that we expected and that similar to prior year, I don’t want to dial out the number just yet because I am going through them with them similar to the due diligence we gave for the S1 US GAAP conversion. So we are now – all those in Q2 as well as the current one for the six months which will be (inaudible), but it’s dialled properly for US GAAP and that we are all on the same page, I’d rather not jump on that. they had a great quarter.
Eric Stine – Craig-Hallum: I then maybe just sticking to results, then can you just – some details on the PT2 units that you sold in the quarter and what the revenue contribution was there, just for book keeping , and then just an update on some of the opportunities that you are pursuing in key markets, kind of what the next thing we should look for?
Bill Clough: I think I will take a shot of that question. The increase was broadly seen across all of the electronic markets, there was no really in particular market that stood out above any other. I was talking about the opportunities of we are seeing in our GasPT, we’ve had pretty dramatic increase from alliance pipeline and from ETT energy transport partners. They are both looking to implement, we’ve had some significant looks up in Canada from TransCanada. So again we think that the next quarter is going to be a really nice quarter.
Eric Stine – Craig-Hallum: And so the PT – I mean just number of units I guess for kind of book keeping purposes in the first quarter –
Bill Clough: Last quarter was – we sold about 24 units, the ASP on the 24 units was 16005 and they included units to our distributors, units to rep, units to national grid, to Scotia, I believe to Western Wales (ph). So that was the – as I think we have discussed in other calls that was depressing and that was our volume discount because if you want to get those in the marketplace, about 396,000 sellers to CUI which of course will go up dramatically now that we have captured the margin that Orbital again as well.
Eric Stine – Craig-Hallum: You talked about the Irish good color, I am curious if you could just talk about the full, because I know that Orbital probe has a lot of applications outside just inclusion in the PTI. So any thoughts there would be helpful.
Bill Clough: Absolutely. That’s a whole new marketing division we are going to start with on, it is the DE probe, basically it’s a probe that sheds the surveillance that you generally find in fluids level when you put something into a flow like a gas pipeline, it prevents migration and subsequent damage to the pipeline and or the probe. It has we believe been revolutionary to have the technology and unlike the GasPT or the Irish, it is something that you actually have in our pipeline every several kilometres because what it is, is you have these thermal wells, what they call thermal wells which is where they measure the temperature of the gas and those are in fact required every several kilometres on a pipeline and right now they are having a real problem with those thermal wells which is in essence a probe into pipeline that have temperature sensor in it. Are they breaking off, and they are causing a great deal of damage, in fact, a year and half ago, a national grid that eventually was killed, when he opened up what he thought was shield probe, it’s one that was unsealed, and the ensuing explosion of gas, not a fireball exploration but jut an explosion of pressurized gas killed it. So the industry is very sensitive to this, we feel there is a great opportunity there, and I could tell you that the way the Rich describes it is, if there are applications for thousands of GasPT devices on certain pipeline transmission system, there is 10, if not hundreds of thousands of opportunities for the thermal well. So it’s a different product. It’s also about 40% net operating margin product for us, sale price is around $7000, so around roughly $3600 that comes into the company.
Operator: Our next question comes from the line of Joel Acromalis (ph) with Marine and Capital.
Unidentified Analyst: Hey Bill, are you still on track for your – you talked about 300 to 400 units in the current year, you still feel good about that for the complete current year?
Bill Clough: I think what we are going to – we are looking at now I think the latest reports at least the research reports are going around 150, 200, I am not going to predict how many we are going to sell frankly. I think we are going to sell about or more. I was in the prediction mode last year and I was pretty wrong about that. I think I was much more optimistic about the implementation than it actually was. I think that we are going to sell a number of units this year. I think 150, 200 is very doable. And I think that the year after that we are going to even figure more dramatic ramp up but I am not going to predict how many we are going to sell. Again I think I am going to leave that in the hands of some of the experts in that, and let him really implement what he wants, which is a great channel of marketing program and really direct the attention up to decision makers. People actually apply this. I will tell you that his opinion is this will become state of the art very quickly and will become the way of gas and energy is measured in a gas pipeline and I think as that occurs we will see many, many units being sold.
Unidentified Analyst: Currently right now on the inventory side, you don’t have any problem there?
Bill Clough: Not at all. We have about something over 200 units prepared to deliver, so we can certainly stay ahead of delivery and at this point we are all but ready to start the inventory.
Unidentified Analyst: I know it’s early stage too but as far as the integration efforts that must be underway now, putting two cultures (ph), feeling no issues there, feeling good about putting the two cultures together and managing that?
Bill Clough: It’s amazing two questions. Joe, it’s amazing how similar these two companies are in measure style and the culture. There have been at this point no issues whatsoever, Dan has done an incredible job of consolidating the accounting, which really was, I would say, the most difficult thing to really – we are doing two different countries, we have state of the English GAAP and convert it to US GAAP. But other than that, really there has been no difficulties whatsoever, any reason I worked really, really well together. Dan has done a great job of really integrating themselves into their accounting system. So I can tell you that at this stage we have been doing quite well and I am actually going over – going to be there starting the end of this week for probably couple of three months solid, to really get a handle on that through this. But it’s going very, very smoothly at this point.
Unidentified Analyst: Dan, it sounds like in the second quarter we will have a quarter over quarter comparisons at least for the second quarter and the first half on a consolidated basis?
Dan Ford: Right, so what we will have in the 10-Q we will have – will be part of our Q2 number. We will also have a separate portfolios in the 10-Q that would show how the year would look, had the Orbital been part of the company for full six months period, during 2013 and compares to 2012 as well, a year over year look at both the pro forma and the actual results during the quarter for us.
Operator: Our next question comes from the line of Aaron Martin with AIGH Investment Partners.
Aaron Martin – AIGH Investment: I didn’t catch about the backlog, you’re now coming from GasPT?
Bill Clough: Aaron, I can’t hear you at all?
Dan Ford: He was asking what he backlog is from the GasPT that we have at March 31?
Bill Clough: Backlog of orders for us or CUI right now is 2.4 million worth, and the backlog from Orbital is 475,000 pounds or about 710,000.
Aaron Martin – AIGH Investment: What was the backlog for complete CUI at year end? What was backlog at December 31 for CUI?
Bill Clough: Let me pull that up. If you have another question, I am going to pull that data right now…
Aaron Martin – AIGH Investment: I had the same question on Orbital, do you have that number as well?
Bill Clough: We do not have the yearend number, I believe for Orbital I can give a round number, I think it was about 14 to 15 million comps at the end of the year.
Aaron Martin – AIGH Investment: I know you are not looking for the good guidance for (inaudible) a good numbers that are out there, 150 to 200, how many do you have actually contracted as of today’s date? You talked about 150 to 200 units this year, not coming from you and you don’t want to do the prediction, and the question is, how many of those units do you actually have contracted to this day?
Bill Clough: We have about – let me think about that. That includes – Dan which of course would be a game changer because they want to order 500 of the shot, so that we don’t think that – I have about – let me look here, about just under 100, about 95 of those units contracted, that would be broadly across national grid, Scotia, have Wales and West, have Alliance Pipeline, have ETP, yeah just under 100, about 95 units contracted.
Aaron Martin – AIGH Investment: In terms of the freight count, how many of those are full systems versus just the –
Bill Clough: I’d say it’s about 60% full systems and about 40% annualized right now.
Aaron Martin – AIGH Investment: In terms of what the sale cycle life of there, how – when do you need to have those contracts in hand to get them, to get them by the end of the year, what would that typically like?
Bill Clough: I can’t give you much detail on the sale cycle yet simply because we haven’t had a lot of experience that. I can tell you that it’s never an emergency device that they have to have right away but I guess may be the best update I can give you is National Grid, National Grid need as many as 400 of them, they are just telling us, they order in original six, they just ordered 10, they got another 20 in the process. Again it goes like that, it’s not something where they order 200 or 300 at a time, generally speaking they would be in order that a distributor would use for having inventory and what not. But as far as the actual implementation, it appears to be something they do over a period of week, so it would be difficult for me to give you a actual sales cycle because again we are new at it, just getting that experience.
Dan Ford: For December backlog for CUI business it was about 14,150,000 roughly, of that about 11.5 to 12 million was related to power and components of (inaudible).
Operator: Our next question comes from the line of Morgan Frank with Manchester Management.
Morgan Frank – Manchester Management: One, what was gross margin on for Vergence in the quarter?
Bill Clough: The gross margin on for Vergence fully loaded with the licenses was about 48%.
Morgan Frank – Manchester Management: There is a pick up, what you guys were just talking about the 95 units contracted, my read on 95 units was 60% full and 40% just probe, and the ASP leaves you a Vergence backlog which is larger than the combination of the ones that you have just announced between CUI and Orbital, so what was the disconnect there, it looks considerably higher number.
Bill Clough: Think about this, Morgan, we also have that first on the standing with EMC for 140 unit to be delivered on that and they just started installing units in these small gas turbines operations in south Texas. So we don’t know when they will start ordering but that includes – that will be included in that backlog.
Morgan Frank – Manchester Management: So the backlog number is less than 95, does that include that in the backlog, it seems like –95 units should add up to something like $3.8 million, $4 million, your order backlog was considered backlog, considerably lower. I am just trying to get those two numbers squared?
Bill Clough: Correct. That includes backlogs, part of that is backlog to Orbital which we did not include in our numbers. So it would be – our numbers that include the numbers from EMC.
Operator: Our next question comes from the line of Lenny Dunn with Freedom Investors Corporation.
Lenny Dunn – Freedom Investors Corporation: I haven’t had a pretty good understanding of the business and I have a – I have a good understanding of your business from reading over that 10-K, and I had a couple of housekeeping items I would like to see you do. Clearly the equity issue was exercised but you didn’t put a news release, you have to repeat a 10-Q to get to it, and it looks like your balance sheet is in very good shape with the additional money from the green issue and also in fact, that you now have a 5 million – 5.3 million in debt, that’s 5% only that extended out to 2020 so that you are in pretty good shape between the long term debt and with the extra cash that you have from the green issue. And to make things a little easier for retail investors to understand and I am not a retail investor but it would be nice to have news releases on things like the green issue and the update on the debt, included in the news releases you put out.
Bill Clough: I will take that under advice, I appreciate the advice. One of the things we are cautious of is we obviously want to make our press release quite meaningful. So we want to make sure that we just don’t give press release after press release after press release. And while you are probably right the green issue might have been something that we could have released. We had already just released the results of the initial raise itself. So but again I will certainly take it under advice.
Lenny Dunn – Freedom Investors Corporation: That’s material, and it’s not something you are going to actively do any how and extending out paying down a couple million and extending out the remaining 5.3 million and 5% by 2020 is also material. So again I am not interested to seeing comfort especially which is, but the material then would be I think helpful.
Bill Clough: Sure and I think it’s kind of material that we have better than a $1 per share of cash flow in the company.
Operator: Our next question comes from the line of Jeff Neal with Deutsche Bank.
Jeff Neal – Deutsche Bank: I have two questions, the first question is, you may have talked about this earlier in the call, I apologize, I got in the call late. But the gross margin assumption in your core electronics business, obviously you have been trying to grow that business, you’ve probably been spending at a greater level than what you would on a sustainable basis. What would you estimate to be your sustainable gross margin on that business?
Dan Ford: Yeah, the gross margin, your cost of sales – we spent about 40 points for as long as I have been part of the company, it’s been 10 years, and that’s the target that our sales staff is directed to try and go for. We obviously – if not, with regard to whatever the product mix maybe in the volumes we are offering. But historic range has been 37 to 41% typically on the gross margin regarding power and electronic business. So we expect, as I said, to maintain fairly well, there may be some erosion but not significant opportunities as we continue to target larger manufacturing contract. But that’s the typical window there. When it comes to the SG&A, and cost of goods, we have been investing in that, for the efficiencies that come through particularly the Q1 last year, we increased our sales people particularly we added superior sales directors, their performance is really taking hold and driving the rep work and reaching customers out in the field. And then also with regard to our advanced power technologies, our engineering team has been built up, and they relate to customers as they are working with on those. So all in all, I don’t expect really much growth in SG&A factor, regarding the power electronics group going forward and we do expect to grow financials, organic growth coming in 2013 and then starting to ramp up any of the power technologies for 2014.
Jeff Neal – Deutsche Bank: My second question relates to back to PT2 unit placement, Vergence unit placement, Bill, rather than trying to predict the number of it, it’s a different question, how many units in your mind must you guys sell to suggest market adoption? What do you the critical hurdle is?
Bill Clough: I understand what you are saying. I don’t think it’s a number of units, I think it’s a number of units to certain customers. In other words, I think if it’s going to happen again, have unlikely discussions with Jimmy Ridge (ph) and others in the industry, I think what’s the real environment of the technology being adopted is one or two of these large transmission companies adopting it, whether that be (inaudible) for partners, whether it be for alliance client, one of these transmission companies either US or North America or Europe, will begin we believe cascade effect of being adopted. And the reason for that is simply once one of the larger transmission companies adopts it and starts recognizing the technology you then open up the secondary market, the large consumers, the power plants, steel mills, the ceramic big factories, the glass factories, those huge users of natural gas, they can then use it to monitor their own gas usage and actually affect their own billing rates for that. So I think at that point, we will see like I say the cascade effect and then move downstream to the distribution system. So I think it’s not necessarily a number as much as it’s a number to one or two of these big transmission companies and I think we have several right now on the line that are starting to adopt it and are really trying to see some traction, right now National Grid, that as I mentioned we are talking now with Alliance Pipeline and (inaudible) for partners to finish their testing and moving forward. And as I mentioned, that is always in that condition of – if they do fulfil the 1500 units project that they are funding and set to do, that would be a huge milestone for us. So I think to answer your question, it’s not just a number of units, because we could sell one of the philosophies that we are starting to incorporate now with the Orbital is to really increase dramatically our distribution network, we are talking 38 to 40 distributors by the end of this year. Well, if we get 38 to 40 distributors and each one of them sells 10, the number are real several, you get 380 to 400 units being sold. But I don’t know that, -- it’s just that, it’s on that way, I don’t know if you really have market adoption at that point which you would have if you had just 400 units sold and the energy trains for partner or into TransCanada or into National Grid. So I think that more closely I think answers your questions.
Operator: There are no more questions in the queue. One more, you have another question from the line of Craig Penner (ph) with Wealth Capital.
Unidentified Analyst: Any update on the touchdown with the GE on your gas approve line effort?
Bill Clough: Yes, the only update is what we talked about the past day, in the brushes of mind, two units which we are now tweaking to fit their criteria, they had a little bit of different criteria they want and there is supposedly be going to go take those two, put them on a mainframe, choose mainframe, test devices in Houston, in their Houston facility and do what they call secondary testing. So yes, to answer your question, they are still moving forward. Yes we are still really – believe are the package only one of the devices they have been looking at and as much of that, attracting to them, so they are still moving forward. I have not heard of a test date yet which is something coordinate around the availability of this machine, hope to get a hold of I guess (inaudible) for specific projects we have to ship right out, so they need two of them, so they can keep two or three. So I think it’s scheduled situation. But there are several for it.
Dan Ford: I would like to circle back to Morgan’s question, I think I answer (inaudible). The Orbital orders, really the GasPT that we have those are for fully populated units, meaning in the boxes with the all development resource and the probe included to go on the line directly. The EMT order currently is just for the analyzers but the expectation is that there is a distribution customer, the expectation is that a good number of those which is more of 60:40 split as Bill mentioned, the expectation is that many, if not most of our customers will be preferred to the hold of as opposed to just the analyzers. Currently our backlog includes just the analyzers for the sales of EMT.
Operator: We have a question from the line of Eric Stine with Craig-Hallum.
Eric Stine – Craig-Hallum: Just related to Irish you mentioned that you have done I think little over 30 of those and if there are 390 pumping stations in the UK, is that realistic to think that you may get most or all of those over time and the second thing, could you comment on what other competitive devices are out there that would go against the Irish?
Bill Clough: Yeah, there are other devices, largely they are all third party hosted. Almost that you can compare it SAT, or Oracle System or third party hosted, they then buy licenses for each and every one of the engineers, the computer they have it, and it’s updated two or three times a year, ahead of cost. So you don’t know, the Irish is just unique in the sense that it’s web based and really it’s just find your own system. So you manage it, that’s owned by you, you don’t need licenses, literally, any engineer with a smart phone or an iPad can use the password, get access to a vibrant dynamic schematic of each and every pumping station, and control valve, you can isolate broken systems, can do any number of things there, again are unique to the system.
Eric Stine – Craig-Hallum: And that’s the different cater, the ability to actually control the system remotely as opposed to system which are primarily providing data feedback?
Bill Clough: And then as far as your question about how many we expect – yes, Dan and I were in the UK during the initial stages of the acquisition and meeting with National Grid, because obviously we want a national grid to know that what was happening and our commitment was to really increase rather than decrease the relationship with them. They were quite happy about that and in fact, gave us an initial report on the 32 that had installed, at that time Orbital had a contract to do 60 this fiscal year which ends in July for them. During that meeting that extended to night, so had 30 more, and what they are now doing is putting together a contract that they will be offering to us under this Rio system that they have over there which is a method by which they are going to reduce costs, by identifying what they call convert vendors and got real system and the contract that they want to put together will be an eight year proposal ensuring us a minimal of 30 units per year over the course of a year. So not only do we expect to get most of those pumping stations we actually expect to get all of those pumping stations. Literally the Irish system is so dynamic and so differentiated that they are now demanding it at the booth level if you will, the engineering level have seen what it does and they want it on every all of their pumping stations. So we think it’s going to be quite a dramatic product and this is only the UK obviously. And so we think that once we can leverage that into the US, we can see some pretty dramatic revenue there as well.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Mr. Clough for closing comments.
Bill Clough: Again thank you Janet, thank you Landon. Thank you much Dan, it’s obviously great working with you and to everyone who participated on the call, we appreciate your support and your interest. I think you’re involved in a company that’s beginning some really, really dramatic change, some pretty dramatic growth and a different company all in all the one that you have seen over the last few years. So again we are quite excited and obviously Dan and I are very available, we can get in touch with your guys through our email addresses which you can get on our website or you can call us, if you have any questions. But again thank you all for your support, your time and your interest. That’s it. Thank you.